Operator: Good morning. Welcome to the Constellium Quarterly Results Fourth Quarter 2013 Conference Call. All participants will be in listen-only mode. (Operator Instructions). After today's presentation, there will be an opportunity to ask questions. (Operator Instructions). Please note that this event is being recorded. Now, I would turn the conference over to Richard Ham. Mr. Ham, please go ahead.
Richard Ham: Thank you, operator. Good day, everyone, and welcome to Constellium's fourth quarter and full year 2013 earnings call. On the call today are Constellium's Chief Executive Officer, Pierre Vareille; and Chief Financial Officer, Didier Fontaine. After the presentation, we will have a Q&A session. A copy of the slide presentation for today's call is available on our website at constellium.com, and today's call is being recorded. Before we begin, I'd like to encourage everyone to visit the company's website and take a look at our recent financial timings. Today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the company's anticipated financial and operating performance, future events and expectations and may involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the factors presented under the heading Risk Factors in our most recent Form F-1 filed with the U.S. Securities and Exchange Commission. All information in this presentation is as of the date of the presentation. We undertake no obligation to publicly update or revise any forward-looking statement as a result of new information, future events or otherwise, except as required by law. In addition, today's presentation includes information regarding certain non-GAAP financial matters because management uses this information to monitor and evaluate financial results and trends and believe this information to also be useful for investors. These measures may not be comparable to similarly type of measures of other companies. Please see the reconciliations of non-GAAP financial measures attached in today's slide presentation. These supplement our IFRS disclosures and should not be considered an alternative to the IFRS measures which are included at the end of the presentation. Lastly, except as otherwise noted, today's figures are presented in euros. I would now like to hand the call over to Pierre Vareille, our Chief Executive Officer.
Pierre Vareille: Thank you, Richard. Thank you all for joining us today. 2013 was a transformational year for Constellium. Not only did we emerge as a public company but we also achieved strong performance in all business segments. For the year, we achieved €280 million in adjusted EBITDA representing an improvement of 26%. The growth was mainly driven by new business in the Aerospace and Automotive markets. In Aerospace we implemented a new contract with Airbus at the beginning of 2013 with obtaining higher volumes and improved profitability. In November 2013 we also signed new a contract with Boeing improving our market share to support a major aircraft project, and we look forward to continuing our long-term relationships with all our customers in the commercial aircraft, defense and space markets. This new contract will allow Constellium to better manage our global aerospace manufacturing system including our flexibility and security of supply for our global customers. In Automotive we purchased greater volumes in both auto searchers which we refer to (indiscernible) as well as in auto rolled products which we refer to as Body-in-White. We have recently announced major new investments to expand our Body-in-White capability in Europe and to add Body-in-White capability in the U.S. (indiscernible) currently as manufacturing capacity on three continents including Europe, the U.S. and China. In 2013 Constellium on its total company also achieved an improvement in adjusted EBITDA per metric ton of $273, an improvement of $57 per metric ton over the $216 per ton achieved in 2012. Our total shipment volumes were favorable in 2013 at 1,025,000 tons and our revenue was up 12% on a comparable basis when adjusted for divestitures which reflect our continuing global mix enrichment. As I mentioned earlier, Constellium became a public company in May 2013 and we are pleased to report that through a series of secondary offerings since our IPO we have increased our public float to more than 84% of the outstanding shares, thanks to strong demand from our public investors. Turning now to Slide 5, we see the evolution of our expanding free float from May 2013 through March 2014. Today, we estimate that approximately 12% of our shares are held by Bpifrance, the Sovereign Fund of the French Government and just over 3% are held by employees. Both Apollo and Rio Tinto have now completed their offerings. On Slide 6 you can see that each of our reporting segments posted strong results in 2013, each outperforming 2012. It was true for both adjusted EBITDA as well as adjusted EBITDA per metric ton which demonstrates management's focus on day-to-day operational performance and the enrichment of our sales portfolio. In adjusted EBITDA each segment produced double digit gains with AS&I improving 28% and the A&T and P&ARP segments improving 13% and 14% respectively. In adjusted EBITDA per ton, AS&I improved the most producing 38% improvement as compared with 2012. P&ARP grew 15% and A&T improved 4%. So you can see that we have continuity to produce solid gains in each segment. As you know, the basic story of Constellium is a portfolio of aluminum businesses where the cash generation from our bedrock businesses such as packaging fuels our growth in higher evaluated markets such as Aerospace and Automotive. The combined volumes in our fast-growing Aerospace and Automotive markets now represent 17% of our total shipments, up from less than 14% in 2012. In 2013 the combined Aerospace and Automotive businesses comprised about 40% of our adjusted EBITDA. Turning now to the Aerospace market on Slide 7, as you know we implemented a new contract with Airbus in 2013. This enabled us to increase our market share and to-date we remain largely unaffected by the inventory overhang which exists downstream in the Aerospace supply chain. This is new to our low exposure to the submarkets and the fact that 90% of our Aerospace business is under our long-term contract. Regarding recent developments, 2013 was a record year for our aerospace plate and sheet production, and we improved upon our global leadership position. In November we announced that we signed a multiyear contract with Boeing and we are very pleased to continue our long-term relationship with them on their major aircraft programs. In the AIRWARE market where we are the leaders in aluminum this year, we continue to see stronger than expected demand ahead of our plans. Long term, we have an increasingly positive view of the market for AIRWARE and we expect the volume ramp-ups to accelerate in the years to come. Turning now to Slide 8, the automotive rolled products market continues to be very strong for Constellium and our European customers are increasing their demand. In 2013 we grew Body-in-White volumes by 24% as aluminum goes into new models and into more parts per vehicle. In the U.S., Body-in-White demand is a true game-changer for both the auto and aluminum industries. We see strong growth in the U.S. market for the foreseeable future where we believe the production capacity of the aluminum industry will be the determining factor in meeting the strong demand. In January we announced a significant future expansion of 140k metric tons to our Body-in-White capacity in Europe and over the next three years we expect to invest approximately 200 million. I am pleased to report that we have already increased production rates in our Neuf-Brisach plant in France and we are ahead of schedule. Today we have reached a current capacity of 60k metric tons and we are also expanding our capacity to our Singen, Germany plant later this year. In Phase 2, we'll add an additional 100k metric tons also in Neuf-Brisach and plan for that expansion to begin ramping up by the end of 2016. We feel comfortable that our premium German automotive customers will require this capacity increase as the market forecast projected doubling of demand in Europe over the next five years. We also recently announced plans to form a joint venture with UACJ in the U.S. and we believe we are well positioned to enter the Body-in-White marketplace and expand into the U.S. starting in 2016. In this important first phase of development, we expect the JV will invest approximately $150 million over the next few years. Turning now to the Automotive sales market on Slide 9, our automotive structures volume grew at 17% and we have strong visibility into future orders with over six years of production at current rates. In February we made an announcement in Crash Management Systems where we are the global leader. We have developed new alloys and decorated designs for the top and the rear of the vehicle for enhanced structural protection in the event of a collision. Constellium's innovative technology enables the production of aluminum Crash Management Systems that are about 15% lighter and 10% stronger than the current aluminum CMS on the market. With both engineering and manufacturing capabilities in Europe, China and the United States we expect that our advanced design and manufacturing capabilities will result in higher performance and cost efficiency. This will open new possibilities to expand the use of full aluminum CMS in the mass market segment and serve our customers in their key global markets. Automotive sector analysts expect that by 2018 aluminum Crash Management Systems are projected to capture about 30% of total operating automotive market share and accounts nearly 20% market share in the U.S. Turning now to Slide 10, the packaging market maintained good performance at slightly lower volumes. We remain number one in Europe in can body stock and number one worldwide in closures. In Europe the market today is only about 78% aluminum as compared with 100% in the U.S., so there are still some long-term production opportunities in the European market. Lower growth in 2013 was driven by adverse weather earlier in the year. As a consequence, some customers adjusted production and inventory levels late in the year. However, due to improvement in productivity, the P&ARP segment produced a 14% increase in adjusted EBITDA for 2013 and a 15% improvement in adjusted EBITDA per ton. We also renewed multiyear contracts with several key customers and have strong demand in Foilstock. Additionally and as we indicated last quarter, lower global scrap margins will have a limited impact on profitability in 2014. I will now hand the call over to Didier to comment on our financial results.
Didier Fontaine: Thank you, Pierre, and welcome all. Let's turn to Slide 11. On Slide 11 you will see that Constellium continues to post constantly strong profile of growth in our key metrics. This graph presents the growth rates in EBITDA and EBITDA per ton on a quarterly basis and for the full year. As you remember, seasonally we typically see higher volumes and profit in the first half of the year and a softer performance in the second half of the year. This is due essentially to the impact of [August and December] (ph) holidays for some of our customers. The opposite cycle, however, is true for cash generation. Turning to Q4 reporting segment on Slide 12, results demonstrated solid performance across all segments for adjusted EBITDA. AS&I ranked the best with 86% increase in adjusted EBITDA Q4 '13 versus Q4 '12 and this has been driven by a product mix enrichment with a continued growth of automotive (indiscernible) business. The A&T and P&ARP posted respectively 7% and 5% increases in adjusted EBITDA. In adjusted EBITDA per ton, the P&ARP and AS&I segments posted strong gains of 15% and 91%. The last improvement in AS&I was driven by improvement mix as discussed two minutes ago, better productivity and a solid cost control. Overall, the P&ARP segment continues to perform well and is providing us with a solid cash flow to help fund our growth. P&ARP actually produced slightly lower tons in Q4 '13 due to some productions and demand softness late in the year. Can makers have high inventories and total shipments earlier than expected, although these impacts were more than offset by stronger Body-in-White customers. In the A&T segment, shipments increased 19% to 61,000 tons from 53,000 during fourth quarter last year and adjusted EBITDA improved 7% from €27 million in Q4 '12 to €29 million in Q4 '13. However, results were softer with adjusted EBITDA pattern decreasing 8% actually driven by a few days of work stoppages at our plants in Issoire in France, plant which generates highest profitability by ton. Our Ravenswood, West Virginia plant (indiscernible) Issoire by working more than scheduled later in the year but with less favorable mix. Without the work stoppages, we estimate that the A&T adjusted EBITDA by ton would have increased. Now let's move to Slide 13 on adjusted free cash flow. It was a positive €36 million despite €18 million increase in our capital expenditures which was expected to support the business and 27 million in tooling fees linked to IPO purchases. Our trade working capital improved €68 million in 2013 and €160 million over the last two years. Trade working capital improved a record low of 25 days of sales in 2013, down from 32 days in 2012 and 43 in 2011. This represents a 22% improvement over 2012 and a 42% improvement over 2011. These improvements are primarily driven by a reduction in inventory level and is at all plants leveled. Now, on Slide 14, our net debt has improved to approximately 152 million which is a significant reduction than the €181 million at the end of Q3 2013. This also reflects the seasonality for cash generation as discussed earlier. Our balance sheet shown on Slide 14 as well remains strong. We ended 2013 with a net debt to adjusted EBITDA ratio of 0.5 times. Our liquidity (indiscernible) on our debt activities; plus our cash and cash equivalents totaled €382 million. We have no near-term debt to maturities and very importantly an average debt life of five years. I will now hand the call back to Pierre. Pierre?
Pierre Vareille: Thank you, Didier. Lastly on Slide 15, the key takeaways are; strong year-over-year performance across all reporting segments; strong cash flow from our packaging business; solid performance in our Space and Automotive markets. In Automotive, the unstoppable shift to aluminum which we have been talking about for sometime recently become real for many investors as both Ford and GM have now perfectly commencing of their plans. Our recently announced new investments in both Europe and in the U.S. for additional Body-in-White capacity we believe we will have a very positive and sustaining impact on our cash generation in just the two short years, and we expect the investments to have strong returns. Constellium is uniquely suited to pursue these projects as we had a strong portfolio of alloys, an excellent design and technical relationship skills. We also have a solid track record (indiscernible) working with our German OEM customers on their highest value models over the last few years. In Aerospace, the market trends also continue to be favorable as evidenced by the recent orders from the Singapore Air Show last month. Over $72 billion new plane orders were announced with Airbus announcing around $15 billion in new orders alone. Collectively the Asia-Pacific region currently has a backlog of almost 3,000 planes for delivery. Globally the backlog is increasing and it is now up to nine years and there have been some selective announcements to increase build rates, for example, on the Airbus A320. Short term we continue to invest to fulfill our Aerospace customers' needs and to expand our leadership in Aerospace products. Thank you for listening today and for your interest in Constellium. We will now open up the lines for your questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). The first question comes from Julian Mitchell with Credit Suisse.
Julian Mitchell - Credit Suisse: Hi. Thank you. Just the first question is on the free cash flow. Even if you add back the IPO fees it was still down considerably from 2012. I just wondered how much more you thought working capital could continue to shrink in 2014 and 2015, or do you think that most of the working capital kind of cash savings has been accrued already?
Pierre Vareille: Let me answer in two phases. Phase number one, you're right. The cash flow in 2013 benefitted from a very vigorous reduction of 68 million reduction in trade working capital, but it was 25 million lower than 2012 where we reached 93 million reduction. Less than 93 million was benefitted from a lot of low hanging fruits because if you look at the curve that is presented on the Slide 13, you see that it suffered a lot second half of 2012 reducing the over dues to now 0.5% of the total sales versus that 3% before, so we have captured a lot of hanging fruits. We still are considering on the long-term for Constellium that the working capital needs to be resourced and also a cash charge. Of course with the ramp-ups of some new plans there will be some negative impact because you're starting from scratch on the working capital. But I will say on the like-for-like basis, we are working very hard and we still think there is room to improve further down our inventory level. So, except ramp-ups, the working capital should continue to be resourced another charge.
Julian Mitchell - Credit Suisse: Great, thank you. And then just on the balance sheet as you said, you got a net debt EBITDA of about 0.5 times at the end of last year. Just wondered what you thought about the benefits of maybe – as long as rates are still low for a little bit longer, issuing some debt, thinking about enacting a dividend payment or whether you think that the balance sheet is efficient enough and the cash should really go on to CapEx?
Pierre Vareille: On the short term you should consider the announcement made, there is several additional hundreds of millions to be invested in the coming three years. However, even if we do believe that we have the liquidity to address this CapEx increase, we want to keep conservative and cautious balance sheet so we will probably issue additional debt to cover the additional CapEx and free up more room and I think that will be the priority.
Julian Mitchell - Credit Suisse: Great, thank you very much.
Pierre Vareille: As far – sorry, just as far as dividend is concerned (indiscernible) I think we'll continue to look at. It's clear that if the projects are delivering faster than expected and we end up with a significant amount of cash faster than expected, we will return cash to the shareholders.
Julian Mitchell - Credit Suisse: Great, thank you.
Operator: Thank you. The next question comes from Sal Tharani from Goldman Sachs.
Sal Tharani - Goldman Sachs: Thank you. You mentioned 60,000 ton capacity you have for Body-in-White in Europe. I was wondering what is the size of this market in Europe overall?
Didier Fontaine: Thank you, Sal. The size of the market in Europe is supposed to be close to 270,000 tons today and this should ramp up very quickly to 600,000 tons before the end of the decade.
Sal Tharani - Goldman Sachs: Got you. And you will be – of the 600,000 ton you will be about 200,000, is that correct after you are done with the expected expansion?
Didier Fontaine: Yes, that's correct.
Sal Tharani - Goldman Sachs: Okay. And next thing on that new Cash Management Systems you have developed, is that replacing old ones or is this a new demand?
Didier Fontaine: It's replacing productivity either I will say order aluminum alloys or steel. As you know, our main competitor for Cash Management Systems is steel. As far as aluminum Cash Management Systems is concerned, we are clearly number one in the world.
Sal Tharani - Goldman Sachs: Got you. And what is the size of this market and volume on a number of units, do you know?
Pierre Vareille: Because there is rear and front, I think the size of the market potentially is over 20 million units – 20 million cars is rear and front.
Sal Tharani - Goldman Sachs: Okay. Thank you very much.
Operator: Thank you. The next question comes from Jorge Beristain from Deutsche Bank.
Jorge Beristain - Deutsche Bank: Hi. I guess my question – good morning, it's Jorge Beristain from Deutsche Bank – is for Pierre. Just trying to reconcile the growth rates that we're seeing in the fourth quarter for your automotive structures and industries segment which on a like-for-like basis grew only 2%. I was wondering if you could just talk to that point as to why we're not seeing a faster growth rate in that division and if it was brought down by weak demand in industry?
Pierre Vareille: Jorge, this is something I would answer pretty easily. I think it's difficult to isolate if you're looking at the segment, you are mixing a lot of different trends. If you look at the pure automotive structure which is part AS&I, this has grown year-over-year by 17%. And if you look at the Body-in-White, this has grown over 20%.
Jorge Beristain - Deutsche Bank: And that's for the quarter or year-on-year?
Pierre Vareille: That's year-on-year.
Jorge Beristain - Deutsche Bank: Okay. And then I guess my second question is more of a strategic nature and again may be directed at Pierre. If you could just talk about the differences in strategy that you're using to penetrate the markets in Europe; you're going to do 100% owned expansions? Obviously you're already dominant there. But in the U.S. you're choosing to come in via a joint venture. And if you could just talk about what the joint venture partner brings in the U.S. market that you feel safer going with that alternative?
Pierre Vareille: Yes, thank you for your question. Actually if you look at the roots to process aluminum for the automotive segment, you need to have a cast house and a rolling mill, which is common to different products and then you have different stations and you go to specific automotive products. The difference is that in Europe we have in Neuf-Brisach a cast house and a rolling mill which is perfectly suited for the automotive market and where we can increase the capacity to grow sales. In other words we don't need to invest in a cash house or a rolling mill in Europe to achieve the volumes which we mentioned a few minutes ago. In the U.S. we don't have a rolling mill which is today suited for the automotive market. We have only one rolling mill which is in Ravenswood, West Virginia and we prefer to devote the capacity of rolling mill particularly to increase our phase in Aerospace. So either we have to invest in a new cast house and rolling mill which is a very, very heavy investment or you have to find capacity in these two processes and on the market which the plant of Logan is offering to us. So again in Europe we have the capacity in casting and house rolling whereas in the U.S. we don't have it, hence the difference in the way we are entering these markets.
Jorge Beristain - Deutsche Bank: Great. And medium term, would there be an ambition to backward integrate into rolling and cast houses in the U.S. for auto dedicated plants or are you happy to kind of continue with that strategy of less invested capital? And do you see that you're getting sort of the better returns in the downstream?
Pierre Vareille: No, we are quite ambitious as far as our roles in the automotive market is concerned both in Europe and the U.S., so the JV which we have signed with our partners is a first step.
Jorge Beristain - Deutsche Bank: Okay, thank you.
Operator: Thank you. The next question comes from Michael Gambardella with JPMorgan.
Michael Gambardella - JPMorgan: Good afternoon. Thank you for taking my call. Two questions; the first is at the Body-in-White project in the United States that you recently announced, do you have an off-take agreement from a customer or customers?
Pierre Vareille: Not yet. So we are in intense negotiations with our customers. I can tell you that we are raising a lot of interest with several OEMs. I can tell you also that the technical teams of the OEMs are working together right now, but the question is do we have firm contracts? We don't have firm contracts yet but I can assure you that we are very confident that we have firm contract from some OEMs before the capacity is on line. The reason for that is that we think and I think everybody – most analysts, most observers of the market believe that actually the capacity of the aluminum industry to serve the automotive market will be the bottleneck of the shift from steel to aluminum.
Michael Gambardella - JPMorgan: Right, okay. Second question regarding your pension, could you talk about how the change in the pension funding from the end of last year to now will change your pension expense for 2014?
Didier Fontaine: So first we have reduced – you see that the liability has been reduced from 611 to 507. This is mainly due to two items. Number one, the continuation of our pension management and OpEx management especially in the U.S. where after the 15-year reduction in 2012, we have further reduced that by €11 million as well as consistently looking at opportunities to reduce it. The second one is that you notice that the rates have increased most back to 2011 and this is representing around $75 million of gains. Next year we do believe that we're going to have the same charge at 42 million, 43 million in the P&L as we are going to be charging cash. So we do not expect a significant difference.
Michael Gambardella - JPMorgan: Okay, thank you.
Operator: Thank you. The next question comes from Matt Murphy with UBS.
Matthew Murphy - UBS: Hi. I was wondering if you could take me through the rough distribution of your CapEx obligations will look like for your Body-in-White expansions both in Europe and the U.S.?
Didier Fontaine: Are you asking the question about how they will be split over the years?
Matthew Murphy - UBS: Right. So roughly I think your expansions have been $350 million U.S. if I add up Europe and the U.S. I'm just wondering how that looks '14, '15 and '16?
Pierre Vareille: Let's say – we're going to stop spending some money in '14 but the bulk of investment is '15 and '16, but it should affect us marginally or CapEx level in '14 but the bulk is clearly '15 and then a little bit lower in '16.
Matthew Murphy - UBS: Okay. And I guess when we look at the U.S. versus Europe markets like flat rolled aluminum for Body-in-White, do you anticipate having comparable conversion margins in both markets or are they different?
Didier Fontaine: That will be the same, smallest.
Matthew Murphy - UBS: Okay, thanks a lot.
Operator: Thank you. (Operator Instructions). We do have a follow-up question from Sal Tharani with Goldman Sachs.
Sal Tharani - Goldman Sachs: Thanks. This BiW capacity you are building, can you tell us which end market is it coming from? What I mean is that if the 140,000 ton in Europe what was it before you were supplying to when – before it is going to be transferred into the automotive side and same is in the U.S. joint venture, where was the sheet being supplied before?
Pierre Vareille: It was in steel.
Sal Tharani - Goldman Sachs: No, what I mean is that the – this is not a new rolling capacity. You already have the rolling capacity in both places. You're just moving from one – is it a can? All of it is coming from can sheet?
Pierre Vareille: Okay. So first we are increasing the capacity year-after-year and it was what we did in the last year both with productivity improvement. So part of our 144 million CapEx which we did last year and the 126 the year before, part of it is for expanding our capacity with the current plan which is sufficient for the time being to cover the needs. And then if we have to, exactly as you said, Sal, you're perfectly correct, what we do is we shift from non-valued added products to Body-in-White products because the value added is very, very different. And if you look at our plant, Neuf-Brisach as an example, we do a majority of can but we do also all the side products just to fill the capacity with a capacity feeder and we should be very happy productivity if needed. And again, it depends how much we can increase our capacity through operational improvement if needed to stop to use the capacity for Body-in-White. So sorry if long answer to tell you that first we are increasing year-after-year capacity with 140 million to 150 million normal CapEx expenditure and second, we have some flexibility with our products and we can stop some products to devote the capacity to Body-in-White.
Sal Tharani - Goldman Sachs: And in the U.S. the joint venture you have, is that also an additional capacity they'll be increasing over there or are they going to shift from a can sheet to the automotive ones that the facility is built?
Pierre Vareille: It will be mostly increased capacity.
Sal Tharani - Goldman Sachs: Okay, thank you.
Operator: Thank you. As there are no more questions at the present time, I would like to turn the call back to management for any closing comments.
Pierre Vareille: Thank you for attending this call. I can just repeat what I said before which is that 2013 was transformational. We are continuing this transformation over the years. We continue to reduce costs, we continue to improve our operational performance, we continue to reduce our working capital needs as we said before, but now we are also entering a phase where the company has a very sound, very solid basis to look at growth and it is what we're doing with all the investments which we announced recently. The other thing which I think is important for you to know is that Apollo and Rio Tinto have left us for the time being – not for the time being, they have left us once and for all and so we are on our own, but it doesn't change at all the strategy which we have. And just to give you again the management strategy, we – the strategy which we have is to focus on the three segments which we have been describing at length into few quarters; Aerospace, Automotive and Packaging and two of this segments shifts from lower products which we have less and less to higher added value products. So that will be the two elements of our strategy which we have implemented successfully in the recent past and which we intend to implement in the years to come. Last thing which I would like to say before we close this call is that we will have an Analyst Day on June 24 in Europe and we are organizing this on Wednesday to make sure that within one day you will have the opportunity to understand all our main processes and our main markets, and so in one day you will be able to understand better who we are and we are really looking forward to have as many people as possible during this one day. And so we have on April 9 in New York an Analyst Afternoon I would say where the focus would be more on Aerospace and the same thing, we hope that many of you will come to join us on April 9 so that we can continue to show you what our strategy is for the future. Thank you all.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect. Have a nice day.